Operator: Good morning, ladies and gentlemen. And thank you for standing by. My name is Kelvin and I will be your conference operator today. At this time, I would like to welcome everyone to the Bankwell Financial Group’s Fourth Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to turn the call over to Courtney Sacchetti, Executive Vice Presidend and Chief Financial Officer. Please go ahead.
Courtney Sacchetti: Thank you. Good morning, everyone. Welcome to Bankwell's fourth quarter 2024 earnings conference call. To access the call over the Internet and review the presentation materials that we will reference on the call, please visit our website at investor.mybankwell.com and go to the Events and Presentations tab for supporting material. Our fourth quarter earnings release is also available on our website. Our remarks today may contain forward-looking statements and may refer to non-GAAP financial measures. All participants should refer to our SEC filings, including those found on Forms 8-Ks, 10-Q and 10-K for a complete discussion of forward-looking statements and any factors that could cause actual results to differ from those statements. Thank you. And now I will turn the call over to Chris Gruseke, Bankwell’s Chief Executive Officer.
Chris Gruseke: Thanks Courtney. Welcome, and thanks to everyone for joining Bankwell’s fourth quarter earnings call. This morning, I'm joined by Courtney Sacchetti, our Chief Financial Officer, and Matt McNeill, our President and Chief Banking Officer. On behalf of our Board of Directors, I'd like to congratulate Matt on his recent promotion to President of Bankwell Financial Group and its subsidiary, Bankwell Bank. We appreciate your interest in our performance and this opportunity to discuss our results with you. On today's call, we'll provide updates about our financial and operating performance for the fourth quarter, including the status of several nonperforming loans we've previously disclosed over the course of 2024 and 2023. It's important to note that during the quarter, we saw no credit deterioration, and we continue to be optimistic regarding the performance of our loan portfolio in 2025. More financial results in the fourth quarter included GAAP fully diluted earnings per share of $0.32, which were impacted by $3 million of net charge offs. The charge offs primarily consisted of two nonperforming assets. First, we fully disposed of a nonperforming C&I loan with a book balance of $1.7 million. The initial write-down on this credit was announced in an 8-K filing in July 2024. The $700,000 charge off on this loan and the sale of certain assets finalizes the disposition of this nonperforming asset. Second, we took possession of a nonperforming construction loan during the fourth quarter, transferred the property to OREO and charged off $1.2 million which resulted in a carrying value of $8.3 million. This loan went into non-accrual status in the early days of the COVID pandemic and has been working its way through the legal system. Subsequent to December 31st, 2024, we signed a purchase and sale agreement for this OREO asset for the full $8.3 million book value. The impact of this sale will reduce the nonperforming asset ratio by 25 basis points. Also subsequent to December 31st, 2024, we signed a purchase and sale agreement for our largest nonperforming loan of $27.1 million at par value which upon sale will further reduce the nonperforming asset ratio by 83 basis points. Both sales should have a neutral impact to future net income. Further details regarding NPAs can be found on slide 11 of our investor presentation. Regarding commercial real estate, we continue to reduce our pre-concentration which stands at 375% of total risk-based capital at year end 2024 versus 397% at yearend 2023 and 425% at yearend 2022. On the liability side of the balance sheet, I'm pleased with the continued strides the bank has made to improve the quality and diversity of the deposit base. We had another productive quarter of growth within our Bankwell Direct product which grew by $39 million over the third quarter bringing total upstanding balances to $136 million, while broker deposits fell another $78 million on a linked quarter basis. Overall, core deposits grew by $169 million in the fourth quarter, while simultaneously reducing our total deposit costs by nine basis points compared to the third quarter. With a liability-sensitive balance sheet, we remain well-positioned for a normalized yield curve. Now, to discuss our financial results in greater detail, I'll turn it over to our Chief Financial Officer, Courtney Sacchetti.
Courtney Sacchetti : Thank you, Chris. Our pre-provision net revenue of $7.9 million was down quarter-over-quarter, representing 98 basis points of PPNR return on average assets. Reported net interest margin for the fourth quarter was 260 basis points, a 12 basis point reduction relative to the linked quarter. Approximately 10 basis points of that linked quarter reduction was a function of lower loan fees, which were $1 million relative to the $1.8 million in the third quarter. While this quarter's loan fees were lower than average for us, we would note that loan fees can vary from quarter to quarter. Our full year 2024 loan fees of $6 million compared to $5.9 million in 2023, with a quarterly average of approximately $1.5 million. Also contributing to our lower NIM was our elevated cash position during the quarter. Our average cash balances were approximately $60 million higher than the prior quarter, which contributed to a five basis point drag on NIM had that cash been otherwise deployed. As Chris mentioned, we had a nine basis point improvement on our deposit costs compared to last quarter, as we're having favorable movement with our time and money market pricing. And despite the fourth quarter results, we expect margin to expand in 2025 as our term deposits continue to reprice. More specifically, we have $1.3 billion of time deposits maturing in the next 12 months. $714 million of retail CDs repricing at an average of 22 basis points lower, and $560 million of brokered CDs repricing at an average 49 basis points lower, both based on current rates. All else equal, we expect to save a total of $4.4 million on an annualized basis from this repricing activity, which equates to an approximate $0.44 pickup in earnings per share and about 14 basis points of margin expansion. This assumes no benefit to non-maturity deposits or any additional cuts in Fed funds, even though we expect to modestly lower our current rates further in the first quarter of 2025. Also we anticipate $0.5 billion in loans to reprice or mature over the same period, which could further benefit margin by an additional 15 to 20 basis points on an annualized basis. Noninterest income of $964,000 was down compared to the linked quarter, mainly due to a reduction in SBA gain on sale fees. The linked quarter increase in total noninterest expense to $13.2 million included one-time OREO expenses of approximately $700,000, but also was impacted by elevated occupancy costs, data processing, and professional services, partly offset by a reduction in salaries and employee benefits. We've remained steadfast in our goal to maintain a stable noninterest expense to total asset ratio, which continues to operate at approximately 170 basis points or better. The fourth quarter's provision expense was $4.5 million compared to $6.3 million in the prior quarter. The fourth quarter's expense included $3 million of net charge offs previously discussed by Chris. Fourth quarter credit trends were benign and include no credit deterioration. Finally, a few thoughts on our financial condition. Our balance sheet remains well capitalized in liquid with total assets of $3.3 billion up modestly versus the linked quarter. We did not repurchase any shares during the fourth quarter but have 250,000 shares remaining on our authorization as of yearend 2024. I'll now hand it back to Chris for his closing remarks.
Chris Gruseke: Thank you, Courtney. Before we conclude today's call, I'd like to comment on some of Bankwell's 2024 achievements as well as our expectations for 2025. Despite the disappointing financial performance due to credit, 2024 was a productive year for the company. We've made excellent progress on several initiatives that lay the groundwork for improved financial performance in 2025 and beyond. First, we've significantly reduced our exposure to broker deposits, which decreased by $247 million year-over-year. Approximately half of this decrease is due to the successful launch of Bankwell Direct. Second, while we've made significant investments in human capital, especially in the important areas of technology and risk management, we've maintained an efficient platform holding the noninterest expense to asset ratio at 162 basis points for 2024 versus 155 basis points in 2023. Third, we've successfully laid the foundation for an SBA lending division, having started originating SBA loans in December of 2024. Looking ahead to our outlook for 2025, we anticipate modest loan growth of 3% to 5% with net interest income growing to the range of $93 million to $95 million. Additionally, we expect 2025's noninterest income to grow to $7 million to $8 million, roughly doubling 2024's performance as a result of our growing SBA lending division. We estimate total noninterest expense of approximately $56 million to $57 million in the coming year inclusive of a healthy degree of ongoing investment in previously discussed growth initiatives. Overall, we are quite optimistic for improved financial performance at Bankwell in 2025. To close, I'd like to thank all of our teammates here at Bankwell whose outstanding effort and dedication have made the evolution of our company possible. This concludes our prepared remarks, operator. Will you please begin the question and answer session?
Operator: [Operator Instructions] Your first question comes from the line of Chris O'Connell, KBW.
Christopher O'Connell: Hey, good morning. And congratulations, Matt, on the promotion. So I just wanted to start off, I guess, with what you guys are seeing on the loan side in terms of the pipeline and kind of what the new origination yields are coming on at. I guess, start there, please.
Chris Gruseke: So Chris, we price everything off of whatever kind of the duration of either a treasury or a short term entity. Things are kind of flat right now. We're seeing most originations right around 7%, maybe a little bit higher.
Christopher O'Connell: Okay, got it. And then as far as the growth that you guys are seeing in the portfolio, in the demand near term, and I know you guys are kind of moderating to a flattish low or growth environment right now until the CRE concentration ratio comes down. Is that still the case as we get into the back half of ‘25, do you think?
Chris Gruseke: This is Chris, Chris. So I would say, because of the mix, which is increasingly more C&I than CRE, that kind of takes care of itself over time. And you can see the steady decline we've had in CRE concentration. The growth number really is an estimate is a function of our CET1 ratio. So our goal is to get that up towards 11, 11 over sometime at ‘27 and moving towards there. So it's not about CRE, it's really just working to grow the CET1 ratio.
Courtney Sacchetti: On a consolidated basis.
Chris Gruseke: Yes, hold curve, right.
Christopher O'Connell: Okay, got it. And I guess on that front, how do you guys kind of stock reg your prioritization in terms of getting to that ratio versus opportunistically using the buyback over the course of ‘25.
Chris Gruseke: So it's more art than science, depends on the trade-off of how profitable the growth is versus the stock buyback and where the stock is trading. So it's the mix of all of those variables. I would expect to see stock buybacks on the magnitude of what we had this year. And Courtney?
Courtney Sacchetti : Maybe 6,000 shares, we've repurchased.
Chris Gruseke: Right, the impact of -- can you talk to the impact of --
Courtney Sacchetti : Sure, a $1 million of buybacks of capital is about 3.5 basis points on our capital ratio. So it's not really a significant impact to buy back 100,000 shares at $30 a share.
Chris Gruseke: Yes, that's 10 basis points, for instance, on capital. So we have the ability to do both, but with the longer term goal and knowledge that it's appropriate to seeing the whole cost CET1. And then it's a function of what is the stock price and how wider yields, and what's the right time to do it. But I think we'll see both.
Christopher O'Connell: Okay, thank you. And then I guess on the fee outlook, I mean, obviously, very strong doubling year-over-year, more or less. Can you talk about, I guess, the pace of the ramp that you expect on the SBA side?
Chris Gruseke: Yes, absolutely. So we spent a lot of time this year preparing for the actual originations. We needed to get the infrastructure in place. I mean, we had done SBA historically here, but larger loans and smaller volume. And so now we're using technology to enable smaller loans and we have first put in the right infrastructure for technology and risk. And there was a Q4 announcement when we announced the head of SBA lending division, Michael Johnston. And we're ready and have actually started originating loans in the SBA division. And Matt can talk about how targets and flow.
Matt McNeill : So over time, Chris, we definitely expect more originations in the fourth quarter than the first. There will be originations in the first quarter. Those have already happened. We expect to see SBA loan sales in the first quarter. And the implied number there in our fees is about $50 million of originations over the whole of ‘25. So I wouldn't be surprised to see three quarters of that coming in the second half.
Christopher O'Connell: Okay, that's helpful. And then on the NII guidance and kind of the overall margin here, I guess I was surprised to see the margin down quarter-over-quarter. And I know that there was the -- sounds like some impact on the loan fees, but I guess I thought that the deposit costs would be coming down a little bit more aggressively here, but certainly the NII guide with, they're not too much balance sheet growth implies kind of a ramp pretty well above just the 14 basis points that you guys are getting from the CD portfolio. Can you talk about the rest of the portfolio outside of those CDs and kind of what you guys are seeing and having in terms of customer conversations around the cost there?
Chris Gruseke: Yes, Chris, let me just start off. So regarding the decrease, as Courtney has said, and we can put finer points on it. The word decreased fees, but part of the drop is the timing. Part of the anticipated decrease in cost of funds is the timing of when the CDs are rolling over. So we have a roll schedule in the investor presentation, and Courtney has gone through in pretty much detail and will continue to put a number on that. I know you want other parts as well. So I'm just starting off by saying that it's not only the fees, it's what was maturing in that quarter and what's maturing ahead. And the quarter ahead, we can see with great granularity what's maturing and what the market price is. So those are real numbers. And Courtney, you want to add to that? And maybe, Matt, you can talk about this.
Courtney Sacchetti : Yes, and I think, Chris, you hit it on the head. Our 260 NIM for the quarter, I would not use that as my launching off point to figure out my first quarter NIM in 2025 a more normalized NIM accounting for fees and more efficient deployment. limit of cash in that low 2.90s, I can see our NIM expanding to the higher 2.70s in the first quarter. You can see we have our highest retail CDs maturing at a rate of 5.20 and almost like call that a third at least maturing in the first quarter that we'll be able to reprice down. And we alluded to a little bit more on some modest price cuts. And so the 4.60 is our current rate on our CD offering today, but we anticipate to have that lower in the first quarter.
Christopher O'Connell: Okay, yes, that is very helpful. And then I guess just if you have the December margin.
Courtney Sacchetti : I actually, I, of course, I'll have to follow back up with you. I don't know that I have that readily available.
Christopher O'Connell: Okay, but regardless, it sounds like starting off with like a 2.70 hand on give or take and kind of moving up from there is appropriate.
Courtney Sacchetti : Yes. That's what I would expect. Yes. So for the full year again, as a function of our time deposits reprice and our loans reprice, I would expect that NIM to approach closer. And I think you probably are backing into this number closer to a 3 NIM for the year in the 2.90s range.
Christopher O'Connell: And Chris, I want to add to that number that Courtney just gave.
Chris Gruseke: That assumes no further action by the Fed. That's just what's built into the system for us.
Christopher O'Connell: Great. Yes. Super helpful. I guess on that front maybe if you guys can talk about what each 25 basis point if that moves like due to the margin. I know that there's the immediate quarterly impact is a little bit dependent on what's maturing from a CD or borrowing standpoint that quarter, but maybe over the course of a 12 month period.
Chris Gruseke: So over the course of the year, we'd have to break it down. Obviously, the term deposits are going to reprice when they're going to reprice, but now at a lower rate. So I would anticipate the 25 basis point move on term deposits just would be lower when they actually mature. And then we have a number of deposits that are tied to certain levels that would automatically move with Fed. And then, of course, non-maturity deposits would expect pretty significant beta on those as well for every 25 basis. We're probably going to drop some rates just in the upcoming weeks. So I don't know that we have a break out of what percentage of those are actually tied to deposits, Courtney, to –
Courtney Sacchetti : I don't know, non-maturity deposits?
Chris Gruseke: Yes, that would go and come down precisely 25 basis points.
Courtney Sacchetti : If I say, but I have about billions of non-maturity deposits, I would say 20% of that is tied.
Chris Gruseke: 25 would get the full beta.
Courtney Sacchetti : Yes.
Chris Gruseke: 20%.
Courtney Sacchetti : Yes. And then the others are, we have exception pricing that we may adjust here and there. But I’d say our offered rates would be on the balance of that.
Chris Gruseke: Right. So for 25 basis points on the deposits that aren't specifically tied to funds, the beta would be greater than 50%. I mean, do you have a better number than that, Matt?
Matt McNeill : Yes, I think we've reached a point now with falling rates and our particular construction of our, not the time deposit will be in the probably 50% to 75% beta, if that's probably closer to 75%.
Chris Gruseke: 75%.
Christopher O'Connell: Okay, very helpful. And then on the expense guidance, obviously a bit of a pickup or a ramp from 2024, as you guys are putting in a bunch of kind of initiatives and have the SBA ramp. How should we think about the cadence? Is that coming up to a pretty, pretty good starting run, right at the beginning of the year, or is it going to ramp over the course of 2025 as you guys are inputting these initiatives and having some of these departments or SBA kind of ramping up over the course of the year as well.
Chris Gruseke: So at a high level, Chris, the numbers that we're increasing include a host of positions. So when we show that number ticking up next year, that's with a steady dose of investment in primarily people. And that's still getting around that 170 base point of asset running at its expense. And that's a number of people which we can go through and sort of people for you. And that it's a function of when the right people come, but it's over the course of the year. We can speak some of the positions, give you an idea, but we're pretty excited that we've been able to maintain the expenses we have, adding a lot of challenge and anything above and beyond that. I mean, the amount we're spending that we've guided to sets us up very well for the future. This isn't going to be a $2 million to $3 million increase every year. We're making investments that we think get us to scale and greater efficiency. But can we put some more meat on the bones as the type of positions and numbers and to get to that increase?
Courtney Sacchetti : Sure. We've been adding heads. Obviously, we've been talking a lot about the SBA platform. So in our estimates for the year, we're adding new originators and support staff for those folks from a credit and risk perspective, more risk function folks, some commercial deposit gatherer people. So there's a good number of heads that are budgeted that aren't here today that we will be building up over time. I will also note, Chris, as you know, our first quarter expenses historically are higher than our other quarters, just given some one-time annual costs that we have related to our audit expenses for the year and some true-ups on, the excess taxes on our incentives plan. So 1Q always has a couple of anomalies.
Christopher O'Connell: Great. Yes. Understood. And then on the credit side, obviously, a lot of cleanup here in the fourth quarter and I guess trending into the beginning of 2025 but seems to be yielding a bit of a cleaner run rate after that. Can you talk about the timing of the two pending nonperforming/OREO sales? I mean, I guess I had thought that the one I'd got signed towards the tail end of October, the larger $27 million credit, did that just get pushed a little bit in terms of timing or was there any change in circumstance?
Matt McNeill : There was a slight change in circumstance. The buyer of that credit, some support actually and brought in a partner, they have since signed a purchase that if all things are go off as planned would close in the coming weeks. We were feeling good about that sale happening.
Christopher O'Connell: Matt, can I interrupt you for a second? The signature in prior quarter was not a definitive purchase and sale.
Matt McNeill : No, it was a LOI and letter of intent at the time, Chris, so the situation crushed.
Christopher O'Connell: Okay. And then, sorry Matt. In the second, I guess this timing on the second one.
Matt McNeill : The timing on the second one is perhaps even sooner next week, maybe. So we're pretty, we have earnest money transactions that signaling to us that we're going to, these transactions are going to go forward. We're pretty confident that they're.
Chris Gruseke: And, Chris, the second one is the loan that began its journey in the very, very beginning, this is a construction loan that began in the beginning of COVID. And it's just playing out its final chapter here.
Christopher O'Connell: Okay, got it. And the –
Chris Gruseke: So the good news from our standpoint is we feel like we're putting this stuff to bed, starting the year with the clean slate, eventually get NPAs down by over 100 basis points just on these couple of loans and with a good outlook for ‘24.
Christopher O'Connell: Yes, and as I understand it based on some of the commentary in the release or the deck, that you don't expect any additional charge-offs related to these credits with the pending sales. And is there any potential chance of recoveries with the one at par? I can't remember if they're -- if it had any specific against it.
Matt McNeill : We never reserved against it or took any charges against that asset.
Chris Gruseke: Of course, [Multiple Speakers]. The part amount, correct. And then we can talk a little about the construction loan. Still pending in the courts.
Matt McNeill : Correct. So we acquired the collateral for the construction loan that became the OREO through the bankruptcy of the borrower. We still have an action against personal guarantors in Connecticut now that bankruptcy is charged. And so we're moving forward.
Christopher O'Connell: Great. And then just on the, that obviously cleans up the vast majority of the non-performers here, but the two other notable ones remaining, if you could just provide an update on those, I think in the deck labeled under loan two and loan three with one of them set to mature next quarter.
Chris Gruseke: Sure. So loan two was a COVID impacted loan. They had a tenant move out on the first day of their lease, which coincided with March of 2020. It's been vacant for a period of time. They will all of the time up until now. They do have leases here. We have taken various charges, about $4.5 million, and we think that, at maturity, they'll be able to refit away from us. That is the request to the borrower now. So I think that one gets cleaned up. We believe that there's still value there for the sponsors to protect, and it looks as they have the opportunity to fully lease out the building here right as this one.
Christopher O'Connell: And those write-downs occurred along the way?
Chris Gruseke: Correct. The majority of that was taken in the first or second quarter of 2020 when the tenant moved down.
Christopher O'Connell: Okay, great.
Chris Gruseke: Loan three?
Christopher O'Connell: Yes.
Chris Gruseke: Loan three. This is a -- so the $84 million club deal with some various regional banks. Sponsor hasn't been cooperative to this point. We do have a receiver in place. So now we can see all of the cash that's coming through the property. It's quite a large property. We're hopeful that not only that this value, this balance that we have remaining is the correct carrying value, but there may be a chance for a recovery at some point if we're able to see cash flow on the property.
Christopher O'Connell: Okay, got it. So it's safe to say that probably is going to be more of a multi-quarter issue to work out.
Chris Gruseke: I would believe so. There's, yes, it’s obviously more complicated with several banks in the work out.
Matt McNeill : And Chris, that loan has already had over $8 million in charges taken against it.
Christopher O'Connell: Yes, understood. Got it. Okay, great. And then more generally as you guys are looking ahead towards 2025, I think you guys don't have a very large office portfolio. But obviously, an area of focus, and there's about, I think it's 56% or $90 million of it matures next year. Have you guys have come into the year and reviewed the portfolio? How do you guys feel about those upcoming maturities?
Chris Gruseke: Yes, I think you're probably referring to page 12 of the investor presentation. There's a chart on that. So other than the New Jersey Club Deal that we just talked about, the remaining 13, you'll see there's 13 loans in that million. The remaining 13 are cash flow positive and pass rated. So we're feeling good about those. Some of those have already had a rise in interest rate. If we've given them a year or two extension on their previously matured loan, they've come up to a market rate and they're still cash flowing. So we're feeling pretty positive about our remaining office balance.
Matt McNeill : And Chris, I'd note that the $90 million of the $160 million is maturing in 2025 in office. And that's because we essentially stopped doing office after 2020. We made some exceptions, but the balances then drop off because there's not going to be any left.
Christopher O'Connell: Yes, got it. Okay, great. And then I guess just last one for me is. What's a good tax rate going forward?
Courtney Sacchetti : Yes, so obviously our tax rate was a little elevated in the fourth quarter. We had an adjustment based on our 2023 taxes that we pushed through. So we're confident, comfortable with a 24.5% tax rate. If you push that adjustment back into our ‘23 numbers, our ‘24 tax rate, I think comes out to exactly 24.5% or 24.6%, so.
Operator: There are no further questions at this time. Like that, ladies and gentlemen, that concludes your conference call. We thank you for participating and ask that you please disconnect your lines.